Operator: Good morning. My name is Christine and I am your conference facilitator today. I would like to welcome everyone to Cliffs Natural Resources’ 2010 Second Quarter and First Half Conference Call. (Operator Instructions) At this time, I would like to introduce Steve Baisden, Director of Investor Relations and Corporate Communications. Mr. Baisden?
Steve Baisden: Thank you, Christine. Welcome everyone to this morning’s call. Before we get started, let me remind you that certain comments made on today’s call will include predictive statements that are intended to be made as forward looking within the Safe Harbor protections of the Private Securities Litigation Reform Act of 1995. Although the company believes that its forward-looking statements are based on reasonable assumptions, such statements are subject to risks and uncertainties that could cause actual results to differ materially. Important factors that could cause results to differ materially are set forth in reports on Forms 10-K and 10-Q and news releases filed with the SEC, which are available on our website. Today’s conference call is also available and being broadcast at cliffsnaturalresources.com. At the conclusion of the call, it will be archived on the website and available for replay for approximately 30 days. Joining me today are Cliffs’ Chairman, President and Chief Executive Officer, Joseph Carrabba; and Executive Vice President and Chief Financial Officer, Laurie Brlas. At this time, I’ll turn the call over to Joe for his initial remarks.
Joseph Carrabba: Thanks, Steve, and thanks, everyone for joining us today. As we mentioned during our first quarter conference call, business conditions in 2010 has significantly improved since last year. The North American Steel Industry Capacity Utilization Rates all having moderated remained in the 70% range and better pricing across all of our business segments is compounding the positive impact from higher volumes. Although early stage signs of recovery from last year’s global financial crisis emerged strongly last quarter, leading economic indicators are pointing to softer growth over the next six to nine months. At this time, we are not seeing anything in the market that would dramatically weaken the demand for our products, and we expect our business to generate continued solid results throughout the balance of the year. Consolidated revenue more than tripled to a second quarter record of $1.2 billion, compared with $390 million in last year’s second quarter. Net income improved to $261 million or $1.92 per diluted share, up from $45 million or $0.36 per share in the second quarter of last year. Although we had strong results in each of our business segments, I take a lot of pride in reporting that our North American co-business shifted to profitability in the second quarter, contributing $23 million to consolidated sales margin. With this operation turning the quarter to profitability, and considering the supply constraints within the (med coal) market, the validity of our strategy is reinforced. We have always considered (medcoal) to be an ideal strategic fit for our merging diversified mining business model, and we will continue to enhance our (medcoal) assets with both on acquisitions as they line up with our high operating standards. This month’s recent announcement, announce the acquisition of INR Energy’s coal operations demonstrates our commitment to executing this strategy. These operations will increase our North American coal production capacity to more than 7 million tons next year and 9 million tons in 2012. These assets strengthen Cliff’s global resource base to more than 175 million tons of metallurgical coal and more than 57 million tons of thermal coal. In addition, this acquisition affords us additional opportunities for geographic diversification with increased exposure to SEABORNE markets. Along with the reserve base, we acquired access to a river-loading terminal which enhances shipping flexibility for all of our North American coal production. This is consistent with our intent to increase exposure and access to high growth markets. In addition to this major acquisition, we are maintaining the acceleration of several of our North American coal projects. Last week, many of you attended the joint event with the Bucyrus executive and manufacturing teams featuring a live demonstration of our new Pinnacle longwall. Delivery of the longwall is expected by September, with production to commence in the fourth quarter. We are still on track to complete the Pinnacle prep plant upgrade in early first quarter 2011, six months ahead of our original plan. The (porto) project at Oak Grove is underway with more than 100 feet of shaft to construct it. We expect this project to be fully operational by second quarter 2011. Turning to iron ore, we expect demand for blast furnace pellets to remain steady for the remainder of 2010, providing us confidence in our North American iron ore sales volume guidance. Our North American iron ore operating team was successful in seamlessly implementing more than $30 million of capital projects in the quarter that could have represented major risk in 2010 production. One of the two major improvement projects included a (killemaring) and roller replacement at the Tilden mine. This is a major piece of equipment for firing pellets in our operations there. The other major project was the installation of the new road in north shore mining. This major piece of equipment allows the dumping of crude oil hauled from our (babot) mine to begin the (benefitiation) process. In addition to these major accomplishments, production at our heaping mines successfully resumed in April without any challenges after being idle for nearly a year. In our Asia Pacific iron ore business, we have increased our sales volume outlook to approximately 8.8 million tons, up from the previous expectation of 8.5 million tons. This is a result of some ingenious engineering employed by our operating team at the cockatoo island joint venture, which is allowing us to resume production quicker than originally anticipated. While our iron ore volume targets are well on track, final pricing and the replacement of what has historically the annual benchmarking system continues to evolve. Although we have determined final pricing mechanisms for final pricing for a significant amount of our anticipated 2010 global iron ore sales, much of our volumes remains provisionally priced although we’re subject to the influence of the spot market. The majority of producer’s supply in the Asian iron ore markets appear to be transitioning toward mechanisms utilizing shorter pricing periods that more accurately reflects spot prices. In contrast, suppliers to the North American and European iron ore markets appear to be partial to negotiations, some type of annual pricing where possible. We continue to keep dialogue with customers open as these two different mechanisms emerge in the market place. Laurie will now address these different pricing mechanisms being applied to our North American and Asia Pacific supply agreements. Now looking beyond our current business segments and toward our new allows business, I’m pleased to report that we achieved our objective of obtaining majority control of the Big Daddy chromite deposit in Northern Ontario. We have successfully acquired over 80% of our outstanding shares in spite of resources, which will allow our development team to move forward with technical and feasibility studies to determine the most efficient strategy to develop this world class assets. We are very excited about the growth potential of these projects brings to further diversify our asset portfolio and products we can offer to customers. We are committed to advancing this new mining district and have recently announced the appointment of Bill Bohr to president, Cliff’s alloys. Under Bill’s leadership, we are confident Cliff’s will be able to apply our expertise in open-pit mining and metal processing as we enter the market for chrome ore and Ferro chrome. Over all, when taken into consideration what has transpired over the past two years within the world economies and the related effect this volatility has had on the commodity markets, I believe our company has done a remarkable job responding to the ebbs and flows that present themselves on a day-to-day basis. When the uncertainty of 2009s global financial crisis emerged, our teams across the globe explored every cost-savings tactic, which turned out to be a significant contributor to our respectable performance last year. In 2010, we have maintained our controlled- cost approach, which I feel is evident by the record-breaking second quarter we just reported. By sustaining this cost structure, our team will be well positioned to respond to the extreme changes in the supply demand during the bottom of the cycle and back, It has been a very busy year thus far here at Cliff’s, and I would like to acknowledge our entire management teams for their tireless commitment to execution. We are more energized and excited than ever to continue executing our proven strategy. And with that, I’ll turn the call over to Laurie.
Laurie Brlas: Thanks Joe, and good morning, everyone. We were very pleased with our second quarter financial results, which reflects strong demand in all of our markets and a stark improvement over the prior year. Revenues increased significantly for the quarter, reaching $1.2 billion versus last year’s $ 390 million. The increase was due to higher volumes and pricing in the current year. Consolidated sales margin improved to $415 million for the quarter, up sharply from a sales margin loss for the second quarter last year. Net income for the quarter surged to $261 million of $1.92 per diluted share from $45 million or $0.36 per diluted share in 2009. Sales volume at our North American iron ore operations increased 185% to 6.6 million tons versus the year ago period. In this year’s second quarter, we shipped approximately carry-over tons that were recorded at the lower 2009 prices. These carry-over tons lowered our over-all second quarter average revenue per to $99.80. Also the prior year’s second quarter average realized revenue of $98.88 per ton was a slight anomaly due to an unusual customer’s sales mix and the extremely low volume. Average pricing for the full year 2009 was $83 per ton, which is a better comparison. As Joe mentioned, due to the changes in the pricing of global iron ore, we are in negotiations with customers in North America to determine what will replace what has historically been the annual benchmark settlement factor of our long-term supply agreement. Turning to the Coal business. In North America, as Joe mentioned, we were pleased to report a healthy contribution to consolidated ales margin during the second quarter. Sales volume for the quarter increased nearly 150% to 719, 000 tons versus 289 tons in last year’s second quarter. Average price ton for the quarter improved 54% to $145, compared with $94 last year. And real lives cost per ton declined 30% to $113 from $160 last year. We are enthusiastic about the progress being made in this business and looks forward to the efficiencies that will be gained with the planned capital improvements that Joe mentioned. As part of the integration of these, we will execute three planned longwall moves in the next two months. While we anticipate sales margin to remain positive, cost related to these moves will impact the segment’s third quarter profitability. However, with the improvements are also expected to division North American coal’s fourth quarter to be the strongest period of the year, with significantly higher production and lower cost. At our Asia Pacific iron ore operations, sales volume increased 43% to 2.2 million tons, up from 1.6 million tons in the prior year. During the second quarter, our marketing team successfully negotiated a 69% increase over the 2009 seaborne iron ore price for the first quarter for final pricing. This compares with our first quarter assumed pricing of a 26% increase. After adjusting for this, and last year’s retroactive impact, revenue per ton nearly doubled in the second quarter to $123, compared with $59 per ton in the year ago quarter. average cost per ton was up 5% for the quarter. the increase was primarily attributable to utilization of higher-cost inventory shipped from stock files. The normal coal and the (amatop) project both generated positive results during the quarter. the normal coal contributed $44 million in revenue and $15 million to consolidated sales margin. And our equity income in amatop was $9.1 million for the quarter. As we look to the balance of the year, for North American iron ore, current sales volumes are consistent with the prior quarter expectation of 27 million tons. Also, by maintaining our prior quarter assumptions of a 90% annual increase in blast furnace pellet and a hot bend steel pricing range of $600 to $700 per ton, our full year revenue per ton outlook remains unchanged at an average of $107 to $112. During the quarter, we became party to arbitration with two of our North American customers. Arbitration is often utilized in settling pricing disputes in our contracts and can typically take anywhere from six to eight months to reach a resolution. As several data points in the global iron ore market suggests dramatic increases in market pricing for iron ore, we believe the outcomes of these arbitrations will overwhelmingly be settled in our favor. However, in the event arbitration proceedings with a specific customer stretch beyond year end, our recorded average price per ton could be negatively impacted by approximately $11. The revenue related to this would be recognized when the proceedings conclude. Cost per ton in this segment are anticipated to be between $65 and $70. Our full year North American coal guidance also remains unchanged with expectations of 3.4 million tons of sales volume, average revenue per ton of between $140 and $145 and average per ton of $110 to $115. Since the INR energy acquisition has not been closed, this guidance does not include any contribution from INRs operation, which given the timing of closing, we expect to have little impact on profitability this year. For our Asia Pacific iron ore segment, we are increasing our 2010 tonnage and pricing guidance. As Joe indicated, we now expect to sell approximately 8.8 million tons, up from our prior estimate of 8.5 million tons due to contributions from Cockatoo Island. Average price per ton is now expected to be between $110 and $115, up from previous projections in the $100 to $105 range. Our full year cost per ton expectation remains unchanged at $55 to $60. Now looking at (phenomacoal) and (amatoip), we are experiencing better pricing and (coching) yields at phenomacoal. As a direct result, we are increasing our average revenue per ton guidance to $110 to $115, up from $102 to $110. Also, assuming a 90% increase for iron ore concentrate products, amatop is expected to be modestly profitable for the 2010 full year. Full year 2010 SG&A expenses are now to be approximately $180 million, up from the prior estimate of $165 million. Higher performance related royalties at phenomacoal are primarily driving the increase. Our full year tax rate is currently anticipated to be approximately 30%, and depreciation and amortization is expected to be $300 million. During the first half of the year, we have generated $236 million in cash, and expect the majority of our cash generation to occur in the second half of the year as is typically the case. We are maintaining our full year cash from operations estimate of more than $1.5 billion, which assumes we resolve all arbitrations and reach final pricing in North America by year end. We are maintaining our capital expenditure expectation of $250 million for the full year 2010. In addition, the board result to increase our quarterly cash dividend during the second quarter by 60% to $0.14 per share based on our cash position and outlook for future cash flow. Looking back at the first half of the year, with three western wildbush acquisitions and taking into account of recent announced acquisitions of INR energy and spider resources, we have announced approximately $1 billion of acquisitions in 2010. Is addition, subsequent to quarter end and the announcement of our acquisition of INR as our coal operations, the two rating agencies that covers us confirmed their investment grade ratings. As quoting Joe’s sentiments, it certainly is an exciting year for Cliff’s, and we’re looking forward to continuing the execution of our growth strategy. With that Steve, let’s open the call for questions.
Steve Baisden: Christine, we can go ahead and open the queue for questions at this time.
Operator: (Operator Instructions) Our first question is from Michael Gambardella from JP Morgan.
Michael Gambardella – JP Morgan: Good morning, guys and congratulations on the strong results and also adding a lot of new information in your release.
Joseph Carrabba: Thanks, Mike.
Laurie Brlas: Thanks, Mike.
Michael Gambardella – JP Morgan: I have a question in regards to North American iron ore contracts. Yesterday, on the Oslo mid conference call, one of your biggest customer, mentioned in the Q&A when I asked a question about their mining operations at the old QCM iron ore mine in eastern Canada about price realizations they are getting. The CFO quoted a price of $165 per ton, if it’ll be the mine as the price. I believe they put out a press release later that day or during the day, at some point, the press release is a little bit confusing, I think maybe implying $163 per ton it’ll be. But the CFO mentioned in his remarks that he was following the eastern Canadian iron ore pellet price, that I guess was recently established. I would assume if it wasn’t my QCM or middle or by you, it was from IOC. Have you heard anything on that and it’s quite a bit – I think that would be anywhere from like 110% to 126% higher than the pellet price last year.
Joseph Carrabba: Yes, Mike. Thanks. We did read the transcripts from yesterday as they are our largest customer and we always have an interest in how did our largest customer is doing. We do also appreciate the comments about the acknowledgement of an eastern Canadian pellet price. As you know that is very important in our contractual discussions with our customers and is some benchmarking is done. We have not heard anything in the market place on iron ore of Canada as far as establishing a price or an eastern Canadian pellet price. But it certainly does seem to be in line what producers are indicating as market pricing. That 105% to 115% range of pricing that we’re seeing in the press for other producers in the pellet industry. And we really look forward now to be able to sit down and discuss the details of our contractual arrangements with middle, given this recent announcement of the ECPP.
Michael Gambardella – JP Morgan: Generally I know that you are in arbitration with S or are you also in arbitration with middle?
Joseph Carrabba: Yes we are.
Michael Gambardella – JP Morgan: Okay. Thanks a lot guys.
Joseph Carrabba: Thanks a lot, Mike.
Operator: Our next question comes from the line of Kuna Chen with Bank of America.
Kuni Chen – BofA Merrill Lynch: Hi. Good morning, everybody.
Joseph Carrabba: Good morning, Kuni.
Laurie Brlas: Good morning.
Kuni Chen – BofA Merrill Lynch: Just wanted to circle back on the arbitration issue. The $11 per ton risk that you call out, that’s basically the difference between what you’re currently billing at 2009 versus the assumed 90% increase, is that how we get to 11 bucks?
Laurie Brlas: There are a number of complications in terms of thinking about through the accounting rules and the legal ramifications. And if we get to year end, some different accounting – we’re talking about a projection right now. And so what you can record is that actual revenue may change. So our projection of 107 to 112 assumes a 90% increase. If we get to year end, and something’s haven’t settled, that would bring down by $11 because of the accounting rules. The ultimate revenue we believe we will get for the tons we shipped will mirror that 107 to 112.
Kuni Chen – BofA Merrill Lynch: Okay. That’s fine. Can you give us a little bit of color around the price mechanisms for the volume that you have put to bed, thus far, probably about half of your volume. Is some of that more curly? Is it all annual? Just give us a little bit of flavor though.
Laurie Brlas: In North America, it’s consistent with our contract. It’s formula-based. It was just concluding what to plug I for this benchmark. We’re hearing now there may be actual benchmark settlement. But couple of months ago, we really didn’t have a benchmark settlement to point to. Still plugging the number in there, that’s a full year for those particular customers.
Kuni Chen – BofA Merrill Lynch: Okay, got you. Just on the coal side of the business. nice to see that turned the corner, so congrats again there.
Joseph Carrabba: Thank you.
Kuni Chen – BofA Merrill Lynch: One comment in that we’ve heard out of the coal sector this earnings season, it’ll cost impacts in lost productivity in the underground mines, certainly increase safety and inspections. How do you feel about that going forward and how you can manage your cost and continue to move that down, especially now that you’re basically doubling down on underground mining?
Joseph Carrabba: Well there’s certainly the pressure on the safety regulations and the increased inspections are going to continue, Kuni. But these really started back from several years ago when the other mine tragedies occurred. It’s really hard to imagine how there could be more of a ramp up than there has been in the last two years. We have inspections almost on every shift of everyday and we’re working very hard with (eshawn), within the regulation that have the safest mines in the industry we possibly can. The biggest thing that we need to do is continue to focus and improve the safety that we have, continue the relationship (eshawn) on understanding the new regulations that we go forward and get a head of it as we are. It will certainly bring some cost pressures that continue to come on that may be are not already in the business. But this isn’t (cliss), this is the industry. As we go forward, we fully recognize that in the INR purchase and actually built some cost into what we’ve felt the cost per ton would be in that purchase price. So we are trying to get a head of it.
Kuni Chen – BofA Merrill Lynch: Okay, thanks. Good luck.
Operator: Our next question comes from the line of Brian Yu with Citigroup.
Brian Yu – Citigroup Inc: Thanks. Good morning Joe, Laurie and Steve.
Joseph Carrabba: Hi, Brian.
Laurie Brlas: Hi, Brian.
Steve Baisden: Hi, Brian.
Brian Yu – Citigroup Inc: going back to Kuni’s question, with the arbitration case you quantified the impact that $11 per ton. I just want your better understanding the difference. Is this basically assume that there’s no change in the seaborne index for those effective tons and that’s how you get to $11 or is it more complicated than that?
Laurie Brlas: Of course it’s more complicated than that.
Brian Yu – Citigroup Inc: All right.
Laurie Brlas: If I said you do get into obviously some accounting requirements when you’re talking about recording actual revenue at year end versus how I can estimate and project what we think we’re going to earn from tonnage. And so we’ve considered all the different accounting rules and the legal provisions involved in this. So it’s difficult to give you a little more detailed explanation than that.
Brian Yu – Citigroup Inc: Okay. Is there like a dumb down ratio you can provide of what it means once you take that $11 out? Let’s assume a 105, 205 in the seaborne index just for those affected tons?
Steve Baisden: Brian, this is Steve. If you’d like, I think, maybe after the call we can follow-up and I can talk through some of the new (ounces) around revenue recognition for some various scenarios.
Brian Yu – Citigroup Inc: Okay. Just on the 90%, does that effectively represent the cash that’s changing hands or your billing rate? I asked that because early in the week, another steel maker (AK) said that they were using 65% resumption because that’s what they’re being effectively build that.
Laurie Brlas: Yes. We have a variety of provisional agreements with our customers. I would say that the 90% is I the general vicinity of being an average of what we’re collecting cash out.
Joseph Carrabba: I think it’s fair to say, too, that they are truing up to the provisional arrangements that we have on the (kaisoic).
Brian Yu – Citigroup Inc: Okay. Thank you.
Laurie Brlas: Sure.
Operator: Our next question comes from the line of Mark Liinamaa with Morgan Stanley
Mark Liinamaa – Morgan Stanley: Hi. Also on the arbitration, is it all about price or there are other things that the counterparty is pursuing with SRN and mid to my concern about?
Joseph Carrabba: No.
Laurie Brlas: Certainly price is the most significant factor. There’s always a lot of things involved that type of arbitration, and it’s –
Joseph Carrabba: but essentially it’s price issue.
Laurie Brlas: That’s the biggest issue.
Mark Liinamaa – Morgan Stanley: It’s all price. So can you give a little more detail, you gave a timeline for the arbitration process. I’m not really familiar with it. What happens? You show up and both appear in front of the arbiter and give your case from where you think the market is?
Laurie Brlas: It’s essentially – I mean – arbitration rules on what the arbiter believes.
Mark Liinamaa – Morgan Stanley: Okay, thanks. Good luck.
Operator: Our next question comes from the line of David MacGregor with Longbow Research. LLC
David MacGregor – Longbow Research LLC: When are you’re expected second half shipments to the arbitration customers?
Joseph Carrabba: I don’t know exactly what the shipments are, David. We wouldn’t change the shipping schedule with customers. It’s really the arbitration would be more around what the price that we will reflect.
Joseph Carrabba: I think we provided a percentage of 27 million tons in the press release. 
Operator: Our next question comes from the line of Mitesh Thakkar with FBR Capital Markets.
Mitesh Thakkar – FBR Capital Markets: Similar to what you gain in the North American pricing side, like the breakup of unsettled contracts and stuff like that, which obviously was really helpful. Can you give us something sort of is there any sort of break up which you can give on the Asia Pacific side? I know you mentioned that you are in negotiation with customer on determining what kind of mechanism you should use. Can you give us some things regarding your Asia Pacific operations as well?
Joseph Carrabba: I’ll be glad to, Mitesh. We essentially have volume contracts with all of the customers in place that we’re doing. The mechanisms that continue to get discussed are – everybody has moved to the quarterly spot, but there are derivations around the spot I think most of the suppliers have discussed from a pure quarter to a quarter plus a lag and even going to a spot price if people start playing games with the contracted tonnage versus the pricing that they see going forward with that. So the discussion or the game is the tonnage is tied up. The mechanisms are – we’ve moved all the customers and they have moved over to this quarterly index one way or the other and some spot pricing. So it’s more of the fine detail than it is, it’s really apples and oranges from the North American contracts that we’re talking about.
Mitesh Thakkar – FBR Capital Markets: Just to maintain the consistency, is there like a possible benchmark or possible spot price reference which can you can use across all customers in Asia Pacific or you would go by customer by customer, everybody has a different choice kind of stuff?
Joseph Carrabba: I think it’s a customer by customer and again it just depends on what we have negotiated and what the customer is comfortable with, when it comes to the way that we’re going to put this mechanisms in on the new quarterly pricing mechanisms.
Laurie Brlas: Spot index is probably to give you direction is the – what is most commonly referenced so if you monitor that, you get a good feel for the direction that price is moving.
Mitesh Thakkar – FBR Capital Markets: Sounds good. Thank you.
Laurie Brlas: Thanks, Mitesh.
Operator: Our next question comes from the line of Chris Haberlin with Davenport & Company.
Chris Haberlin – Davenport & Company LLC: Question on the Asia Pacific realization guidance, I guess with not including the retroactive pricing look back in the segment in the second quarter, our question is, does the 105 to 110 guidance assume the $123 price realization that you all reported in the second quarter or the kind of roughly 140 if you include the retroactive look back that would have been reported?
Laurie Brlas: It’s the full number. When we did the adjustment it was just that you can have a better comparison. Our actual recorded number for the quarter is the 140; it’s in the business segment. And so just in order to enable that year-over-year comparison to be accurate, it would straight at least said if you actually move that back into the first quarter, it doesn’t go away. It just got moved back into the first quarter and so the full amount $37 million true-up is included in our full-year guidance.
Chris Haberlin – Davenport & Company LLC: Okay. And then second question in North America. Can you just give us an idea of how many tons were shipped under arbitration?
Joseph Carrabba: Yes, I don’t have –
Laurie Brlas: We don’t really give quarter-by-quarter by customer. We gave the total percentage of the full year volume that is under arbitration and I think that’s probably as much detail as we’re comfortable in the fiscal (inaudible).
Chris Haberlin – Davenport & Company LLC: It was not included in the 2 million that were identified as carry-over?
Joseph Carrabba: No.
Laurie Brlas: No. The carry-over tonnage was priced at 2009 pricing. We’re talking about 2010 volumes that were in arbitration to finalize the pricing on the 2010 volume.
Chris Haberlin – Davenport & Company LLC: but that 2010 arbitration volume was still priced at 2009 prices?
Laurie Brlas: No, it was estimated for the year. That’s we said we have used the 90% estimate to estimate the derivative pricing.
Chris Haberlin – Davenport & Company LLC: For the volume under arbitration?
Laurie Brlas: Yes.
Chris Haberlin – Davenport & Company LLC: Okay. Thank you.
Steve Baisden: And Chris I can cover more of that with you offline, I think.
Chris Haberlin – Davenport & Company LLC: That would be great. Thank you.
Operator: Our next question comes from the line of George Ireland with Geologic Resource Partners.
George Ireland – Geologic Resource Partners, LLC: Actually you’ve answered my questions. I’ll just ask about the Big Daddy deposit in the time frame. Thank you.
Operator: Our next question comes from Tony Rizzuto with Dahlman Rose.
Tony Rizzuto – Dahlman Rose & Company, LLC: I just got one question and I was wondering, as the North American market is evolving for iron ore, are you finding that it is also gravitating towards premiums for quality with grade and impurities? We’ve seen (Vallet) do that from their perspective. I’m wondering what you guys are seeing.
Joseph Carrabba: Our quality is very much set within the contract that we have today, the pellets and where they come from. The sources have been pre-well built in to the blast furnaces as our technical people work with our customer’s blast furnaces in North America. So no iron ore North American contracts and quality have been set contractually for a long time.
Tony Rizzuto – Dahlman Rose & Company, LLC: Okay. No changes there then?
Joseph Carrabba: No.
Tony Rizzuto – Dahlman Rose & Company, LLC: Thank s, Joe. Appreciate it.
Operator: Our next question comes from Jason Brocious with KeyBanc Capital Market.
Jason Brocious – KeyBanc Capital Market Inc.: I just had a couple of quick questions. I was wondering regarding INR. I guess that’ll be close in just a couple of days. Could you give us any idea what that products pricing at in the market and the kind of cost per ton may be relative to your existing operations?
Steve Baisden: Hey, Jason, this is Steve. Most of the product for 2010 is already contracted and priced. And when we announced the acquisition, we provided some pretty detailed numbers around what is contracted, what remains open. And then you can look at any number of trade publications to find out what high-vol coal is going forward this time.
Jason Brocious – KeyBanc Capital Market Inc.: Okay, all right. Thanks. Have a good day.
Operator: (Operation Instructions) Our final question comes from (Michelle Appabum) with Field Market.
Unidentified Analyst: My question is about the new tax regime in Australia? There’s been a lot of controversy about it. Can you give us kind of your view of what that does to the pricing equation moving forward?
Joseph Carrabba: Certainly the super tax was the topic in the first quarter. Prime Minister Kevin Rudd is now out. The new Prime Minister that in seems to be a little level headed what that would do to the industry and to Australia being a greater exporter of natural resources into the Asian bases and things seem to be getting a little level set, having said that, it will be part of the national debate as selections are called in Australia later this year and into the parliament. Nothing has been settled I think officially that we’ve read. It will be more sensible but I think there’s no doubt that taxes will go up. We don’t have a fell for the percentage and I would love to price that in for you but we just don’t have at it that point in time. Our Australian folks has spent a considerable amount of time in the industry groups, talking to the various ministers even being in the round table discussions with the new Prime Minister over there. But we just don’t have a feel for those taxes and as soon as we do, I’m sure we’ll all, as an industry, put that report out and try and give you the implications that go with it.
Unidentified Analyst: I was curious about the hematite, magnetite issue?
Joseph Carrabba: Since there’s almost no magnetite down there, anyway that’s being produced there’s a lot of projects that around it. It’s all around the hematite. I mean that is the production that’s going to come forward and going to be the bulk of the business in the very near and long future in Australia. So I think it’s kind of a silly discussion around the magnetite since I don’t see a lot of that coming on, now on for quite some time.
Unidentified Analyst: So North America is likely even when contracts are expiring, they are likely to be renewed as annual because that’s been the trend in North America so far that you’re seeing except from North America into the export market.
Joseph Carrabba: That’s fair.
Laurie Brlas: I think that’s fair, (Michelle).
Unidentified Analyst: Okay, good. And as a long-term kind of person, I actually think when you have a good credit and a customer who follows the rule, on the upside and the downside that I would value that stream on an annual fixed-price basis higher than the volatile strain. I’ve seen it those ways for a very long time.
Operator: I would now like to turn the floor back over to management for closing comments.
Steve Baisden: Yes, Christine, thank you very much. On behalf of the Cliff’s management team, I would like to thank everyone for joining the call today. Both (inaudible) and I will be around all day to help field some questions in terms of follow-up.
Operator: Ladies and gentlemen, this does conclude today’s teleconference. You may disconnect your lines this time. Thank you for your participation.